Monica Girardi: Good evening, ladies and gentlemen. Welcome to our first quarter 2020 results presentation, which will be hosted by our CFO, Alberto de Paoli. In the presentation, Alberto will provide highlights of the period, and we'll walk you through the operational and financial performance for the group.  Following the presentation, we will have the usual Q&A session. We ask those connected to the webcast to send questions only via email at investor.relations@enel.com.  Before we start, let me remind you that media is listening to both the presentation and the Q&A session. Thank you, and now let me hand over to Alberto.
Alberto de Paoli: Thank you, Monica, and good evening, everybody. Let's start with the highlights of the period. I'm on Page 1. During the first quarter of 2022, the group delivered strong financial results. EBITDA grew by 7%, and net income increased almost 20% year-on-year. The positive performance has been achieved, thanks to our integrated position along the value chain, which supported our delivery in spite of an extreme energy scenario, such as the one we are living these days. The integrated management of our generation fleet and commercial offerings stabilized the overall margin, as I will detail later in the presentation. This, coupled with a sound growth in renewables, where we continue to mark significant progresses with 5.6 gigawatts of new capacity built over the last 12 months and more than 13 gigawatts in execution, we believe the growth experienced in the quarter bodes well for full year targets.  Now before analyzing the operating and financial performance, let me summarize a set of peculiar dynamics we observed in Q1, and I'm on Page 2. The retail business experienced a sound growth in the free market customer base with a huge number of customers moving to the free market segment offering from the first time a cheaper tariff than the regulated.  On the generation side, in Europe, we lost 3 terawatt hours of hydro production due to a severe growth. This, coupled with a spike in commodities and power prices, which caused an increase in our sourcing costs. Governments introduced measures to soften the impact for customers of increasing commodities on energy bills. In particular, the measures introduced in Italy and Spain related to windfall profit for the energy companies had a negligible impact so far on our numbers as we had already sold forward before the energy to our customer at a reasonable price with no extra profits generated. On the other hand, in Romania, the measure implemented are affecting severely our results, but discussions are ongoing to find an acceptable solution for all the parties involved.  While government's intervention in Spain and Italy had limited impact on our profit and loss, they affected remarkably our net debt evolution, which at the end of March accounts for more than €2.2 billion associated with these items. Additionally, our working capital in the quarter is affected by temporary dynamics associated with the energy crisis and related to the higher sourcing payments, which are expected to be reabsorbed within the year, as I will explain later.  To face this volatility, worth to mention the group can leverage on more than €25 billion of liquidity available, out of which €6.4 billion in cash and the rest readily committed credit lines. Despite a strong volatility on our EBITDA, our EBITDA increased remarkably as you can see in Slide 3. As said, EBITDA is up 7%, showing a strong resiliency of our integrated business model against the current market's context.  First of all, it's worth to highlight that the EBITDA evolution has been negatively impacted by the nonrecurring items booked in 2021 for around €250 million. On top of this, in Q1, the group growth was driven by new capacity in renewables for around €100 million; increasing prices and conventional generation volumes, adding around €500 million. Worth to highlight that the last prices were highly depressed during the COVID-19 pandemic, and the new pricings are normalized -- normal level of price we had also in previous years. Around €170 million of regulatory improvements associated with the non-mainland generation in Spain and the tariff indexation in LatAm, which more than offset the WACC cut in Italy since the beginning of this year. And then Enel X stewardship has doubled its contribution versus last year, and then we had roughly €150 million of efficiencies in the operating business. These for the positive side on growth and efficiency.  On the negative side, the negative dynamics in the chart, we accounted for 3 terawatt hours of less hydro production in Italy and Spain, and it's worth around €200 million. Around €250 million is the net effect between higher sourcing costs, both on generation and retail and commodity portfolio optimization. And finally, we had €260 million negative impact from the measures implemented in Romania. These measures, as said, implemented to ease the cost of electricity to final customers, are remarkably affecting the economics of our retail and distribution assets, introducing a tariff cap and an internalization of extra energy costs. We don't think these measures are sustainable, and we are discussing with the government to find a solution that can be considered acceptable by all the parties involved. The stewardship business model contributed for €240 million, mainly through Ufinet disposal. Finally, in this quarter, we experienced a positive FX effect for around €50 million compared to 2021.  And now I will dive into earnings evolution on Slide 4. 20% -- around 20% is the growth of our bottom line in the quarter. This result was supported by a strong EBITDA contribution; a reduction in minorities, which more than offset the higher amount of D&A. D&A are up €200 million year-on-year due to the higher level of investments deployed and higher bad debt accruals in Italy and Brazil. Net financial charges benefited for the refinancing strategy carried out last year, and that resulted into a 30-basis-point decline in the average cost of debt. Income taxes are in line versus previous year. Minorities, as said, decreased by 31%, reflecting the increase in Enel Americas' stake and the higher contribution of Italian companies.  Moving now to the cash flow on Slide 5. Group's cash flow in the quarter was affected by a working capital swing of €4.7 billion, which is in a vast proportion, temporary. €3.6 billion of delta working capital is recoverable by year-end. In particular, we have €1.7 billion negative impact from last year CapEx curve, which was skewed towards the last quarter, normal impact every first quarter that would be reabsorbed along the year; €1.4 billion associated with the sudden change to the energy market environment, which unbalanced the equilibrium between vendors, payments and clients' bill collection, and also this will be reabsorbed along the year; €500 million additional measures implemented by governments to soften the increase in prices for final customers, which, together with year-end figures, sums up €2.2 billion of debt originated by state intervention that are, as I said, temporary intervention in all the countries in which they occur.  By taking out these effects, FFO stands at around €3 billion. We will maintain our focus on working capital optimization, and we will continue to closely monitoring and managing the dynamics that are arising from the current energy distressed context. And finally, income taxes and financial charges paid for a total of €500 million, are in line with our structural trend.  Let's now take a look at net debt on Slide 6. The net debt amounted to €59.1 billion at the end of the quarter. Main moving parts described in the chart are the following. As said, FFO, negative €600 million. Investment deployed for €2.5 billion, increasing 19% versus last year. Dividends paid for €2.1 billion, active portfolio management activities, mainly related to the consolidation of ERG renewable assets and around €700 million from currencies revaluation and €100 million from new leasings.  I want to stress here that our net debt at the end of March is far from reflecting the financial situation of the company as it's currently affected by €2.2 billion related to temporary measures implemented by governments, around €3.1 billion associated with temporary working capital dynamics already commented and €1 billion related to the accounting difference between net debt at FX hedge and the reported one. Net of these effects, net debt would have land below €53 billion, including €3 billion associated with the accounting principle on leasing. Gross debt stands at €76 billion, increasing 6% versus December 2021 as a consequence of the already mentioned dynamics on the net debt.  Before diving into the business line results, I would like to highlight the soundness of our liquidity profile. I'm now on Page 7, where you can see that our total liquidity at the end of March stood at €25 billion, of which more than €6 billion in cash on hand and the remaining €19 billion in readily available committed credit lines, reducing refinancing risk. Level of liquidity covers 1.5x debt maturing throughout the 2022-2024 plan period amounting to €17 billion, net of short-term debt that is routinely ruled over. We consider the group's liquidity position as more than satisfactory to face the turbulence we are leaving, and we don't see any short-term risks that might impact the solidity of our balance sheet.  Let's now dive into our business lines results, starting with our Global Power Generation division on Slide 9. Thanks to our green repositioning, renewables production accounts for around 50% of our 62 terawatt hours total production for the quarter, notwithstanding the 21% reduction in hydro volumes, and emission-free production stays close to 60%. The severe hydro output reduction has been compensated by a higher production of solar and wind and by thermal generation. To be considered exceptional, it's driven by this contingent situation. Wind and solar assets rolled out in the last 12 months contributed for around 30% of the total production increased increasing more than 2 terawatt hours, so plus 17% versus the same period of the last year. Total renewable capacity represented 60% of our total installed base, reaching 54.4 gigawatts.  Over the last 12 months, we built 5.6 gigawatts renewables and added 500 megawatts throughout the acquisition of ERG assets. We made further progress on coal closures by shutting down 1.1 gigawatts in Iberia and almost 900 megawatts in Italy for a total of 2 gigawatts, bringing the coal-installed capacity below 7 gigawatts.  Our renewable growth come together with a remarkable step-up in the positioning of our customer division, as you can appreciate in the next slide, and I'm on Page 10. As said, customer base in the free market increased remarkably, adding 1.8 million customers in the last 12 months, mainly in Italy and Spain, driven mainly by the switch of customers from the regulated segment. The customer base expansion fueled the increase in the energy sold in the free market, which is up by 9% year-on-year, with volumes increasing in both B2B and in B2C segments, particularly in Italy, where the switch factor played out strongly.  Worth to highlight that the growth in volumes of energy sold was so remarkable and sudden that opened unexpected needs of electricity sourcing, which we promptly managed. Our commercial offering on electricity prices focuses on pairing fixed cost technologies with fixed price contracts, offering visible prices to our customers while the remaining volumes are sold with index prices according to customers' preference.  Looking at the Enel X. We recorded a remarkable growth across all the product lines. Through the new Enel X Way business line, we have added 130,000 charging points, reaching around 350,000. Storage behind the meter increased by around 15 megawatts. 6.6 gigawatts of demand response capacity was offered globally, and electric buses reached more than 3,000 units.  Moving now into the EBITDA evolution of global power generation and customers. We are on Slide 11. During our Capital Market Day in November, we have been pretty vocal about how important is the management of a margin that integrates generation, trading and retail. This quarter, we present the financial moving parts of the global power generation and customers altogether as we believe it is the best way to represent how this work protecting marginality and delivering growth.  In Q1, ordinary EBITDA for the global power generation and customers reached €2.8 billion, up 13% year-on-year in spite of the energy crisis with the following positive dynamics. On renewables, the new capacity installed and acquired as well as the price scenario impacted positively for €200 million. Conventional generation is up €550 million, driven by higher volumes and prices and the regulated asset in Spain and efficiencies. Customer overall contributed for around €300 million, of which 2/3 are associated with Ufinet transaction and the rest with beyond commodity services offer and efficiencies. These positive items have been partially offset by lower hydro, as said, for €200 million. Increase in sourcing cost, net of optimization had a year-over-year burden of €250 million. Here, sourcing cost increase accounted for almost €1 billion, and portfolio optimization offset for around €800 million. Finally, the price cap introduced in Romania impacted negatively for €160 million.  Let's now take a look at our operating achievement on infrastructure and networks on Slide 12. In the first quarter, volumes of electricity distributed are flat year-on-year with a stabilization post-pandemic. Number of the end users connected to our grids increased by almost 1 million, mainly in LatAm. Our efforts to quality and efficiency resulted into a remarkable progress with SAIDI down across all grids by 6%. Activities on network remain centered on the digitization of the networks with the installation of 700,000 smart meters in the last 12 months, resulting in 60% of our end users digitalized.  Jumping on EBITDA evolution for networks. Ordinary EBITDA stood at €1.7 billion, mainly in line versus previous year. Performance was positively impacted by around €100 million associated with the tariff indexation in LatAm, mainly in Brazil; around €70 million associated with the efficiencies recorded; and FX, which in the first quarter has been positive. On the negative side, we had €70 million negative impact associated with the WACC change in Italy, €100 million negative impact coming from the measures implemented in Romania to mitigate the impact from high power price on customers and short of €100 million from the Delta nonrecurring -- other -- recurring and other items.  And now let me conclude with some closing remarks on Page 15. 2022 kicked off strong. All the operating dynamics we observed, the pace of our investments and of our growth are all paving the way to reaching our strategic ambition in the short, the medium and the long term. Our business integration across the value chain and deep diversification proved once again to be a key driver of performance, minimizing risks from extreme conditions while crystallizing opportunities.  In light of the first quarter performance and leveraging on our business mix, we confirm our EBITDA and net income guidance to be fully achievable. Growth in net income will come together with an appealing and sustainable dividend policy. On May 19, our shareholders are called to approve a DPS of €0.38 corresponding to a dividend yield of more than 6% at today prices.  We can now open the Q&A session. Monica, the floor is yours, the virtual floor.
A - Monica Girardi: The virtual floor. Thank you. We received an incredible amount of questions, so just allow me 2 or 3 minutes of silence to pack them all in order to be efficient in managing. Just a couple of minutes, and we will be right back. Okay. We are back. I hope we packed everything. I'll start with the most popular one, which is on guidance 2022. Alberto, can you confirm 2022 guidance?
Alberto de Paoli: Okay. So we confirm, as said in the presentation, our guidance on EBITDA and net income because we have confidence that is based on the first quarter and results that we have seen in the first quarter, the underlying operating trends that we see on our different businesses and different countries and on the base on the visibility that we have as of today around the evolution of the energy scenario.  On the financial side, we also confirm our intention to keep a solid financial position and with a net debt-to-EBITDA ratio around 3x. Here, also, we see a predictable evolution of cash flows and also the temporary effect we had in the first quarter that we have already discussed. And also looking at -- so the reabsorption of all a part of the government measures that today are set to be temporary within mid of this year.
Monica Girardi: Okay. Guidance confirmed. Can you just share with us what's the different moving parts that are bridging your last year results, clean of everything and the full year guidance on EBITDA, of course?
Alberto de Paoli: Okay. So what we have already said during the full year presentation, so we are in -- so keeping that line without major change because of the first quarter is confirming this trend. So I recap, for the benefit of you all, what we said.  Starting from net Open Fiber results of 2021 of €16.8 billion, what we see is roughly €800 million of rebound of negative impacts we suffered in 2021; an overall renewable impact, renewable growth for about €1.4 billion. This is the result of the 5.6 gigawatts installed in 2021, the 500 megawatts acquired from ERG and more than 60 gigawatts that we are going to install this year.  Then we have on networks more than €500 million mainly related with the growth in volumes, RAB and tariff indexation mainly. Global customers, that will increase by €400 million, and this is mainly based on the increasing customer base as commented in volumes and also the good success of the beyond commodity services. Stewardship model will contribute for around €500 million capital gains and €100 million of services sold to joint ventures that will increase further in the next years, overcoming in terms of percentage, the level of capital gains. And finally, currencies that are strengthening, and this dynamic might add up another €200 million to the list.  So to summarize, first quarter moved better than expected. But we know that in such a volatile context, headwinds can prove to be really intense in the current energy context. So the underlying offers has a quite big buffer to offset extreme negative scenarios.
Monica Girardi: Another set of popular questions around government intervention. The first pack of questions relates to the quantification of the impact of the existing measures in Italy and Spain as of now and what might be projected as an impact for year-end.
Alberto de Paoli: Well, in Italy, different measures have been implemented. One is the progressive cancellation of system suspension of system charges that impacted, in this quarter, our cash flow for around €700 million. And overall, because this is an additional measure with the previous adopted in the past year, the overall impact is up to €2 billion on our debt.  Then on Monday, we had -- the Italian government mentioned the introduction of an additional 15% levy to be applied to energy companies. This is in addition to the 10% already approved in January, and that weighted around €40 million on our bottom line in the first 3 months. So we have already accounted in the first quarter result this €40 million from the previous levy on 10%. Now the additional 15%, we don't have any other information around different -- other differences in the decrease. Only applying the increase from 10% to 15%, we are going to add the €60 million, bringing the overall impact of around €100 million.  In Iberia, we expect no further impact from the other measures currently in place while we are still waiting to better understand how the gas price cap proposal is implemented before sharing potential impact.
Monica Girardi: Okay. Following the implementation of the gas price cap in Iberia, what do you expect might happen in other European countries?
Alberto de Paoli: As you can remember, we have always advocated for decisions to be taken at European level, mainly related to a price cap on gas voltaic prices. Several governments are shown to be backing this concept, but we are still waiting for a decision to be taken.
Monica Girardi: Somehow linked with the regulatory changes, analysts are asking about what is going on in Romania, if you can clarify which are the regulatory decisions that are impacting our operations and what do we expect being the impact for year-end.
Alberto de Paoli: Okay. Here, we have two different impacts, one on the distribution business and the second on the supply business. On distribution business, the point is that the tariff for 2022 are not reflecting the cost we are incurring in acquiring energy needs to fulfill network losses of our distribution grids. This differential is generating a potential negative impact of €200 million. This impact is going to be recovered in the next 5 years starting from next year, April.  On supply business, the government introduced the price cap, which will likely impact our EBITDA for around €100 million. The overall financial impact will reach around €500 million, so it's higher than the economical impact because the price cap mechanism creates temporary differences between what is to be the customers and the regulated price, a difference between these 2. The price cap and the sourcing cost will be recovered from the state budget but with a delay that is in the range of 60, 90 days. Now we are still intensively discussing with the government, aiming at minimizing both the economical and the financial impact of the year. So we are actively discussing to try to find a way to soften these two impacts.
Monica Girardi: A follow-up on this, maybe a change into the approach to Romania. Does this change your investment strategy? And does this effect affect the probability of exiting the country?
Alberto de Paoli: Well, so as always said, our capital allocation is flexible because we are not invested for a long time or committed for a long time in any country in which we work. And through this way, we constantly fine-tune the -- our investment plans according to the environment. And most importantly, the applicable regulatory framework that in our business is of paramount importance. So it goes without saying there is as little sense to invest in an excessively punitive environment.
Monica Girardi: We changed a little bit topic. We go back to sourcing costs, so financials for the quarter and trends over the year. Sourcing costs went up on higher power prices and low hydrology. How do you expect this trend to evolve over 2022?
Alberto de Paoli: Well, it depends on the price curve. A few lags of implementing a proper action plan, we expect the dynamics observed in the first quarter to remain broadly unchanged. On the other side, we foresee lower hydrology, and so this will still drive greater contribution from thermoelectric assets. What we see is that at the group level, integrated management of the portfolio will continue to balance our -- out the economic margins. And to constantly optimize results, managing generation assets and sourcing of energy in sync with retail activities.
Monica Girardi: Another hot topic, Alberto. Is there any update on the Russian assets?
Alberto de Paoli: Well, no specific update at the moment. First of all, as you may remember, Russian operations are a very limited portion of our financial, and activities are self-contained within the country. We are not going to deploy, more RU investments, and we are working to identify an actionable way forward. And meanwhile, we are adopting all the corporate and legal measures within the legislative framework in place. So we will communicate it as soon as we will have defined a sound way forward that we will communicate to the market.
Monica Girardi: Another one on development, which is quite hot. Are you on track with your target on renewable development for 2022?
Alberto de Paoli: The answer is yes. We have already under construction all the assets related to our 2022 target that are foreseen to be reached within the year. So we will stay around 6,000 megawatts at the end of 2022.
Monica Girardi: Moving to stewardship. The stewardship business model yielded €200 million in the quarter due to capital gain on the Ufinet transaction. What's the expected total of capital gain for 2022? I think you mentioned before, but maybe Alex wants you to repeat.
Alberto de Paoli: Yes. So it's useful to repeat because I think it's better to stress what we -- what is the target we have in the 3 years' plan. So we have -- and stewardship business model is set to create more than €1.2 billion EBITDA in the 3 years' plan. 50% will come from capital gains and 50% will come from services sold to joint ventures. This year, we expect around €400 million in capital gain out of the €600 million for the plan period, and this €400 million includes the €200 million already secured with the Ufinet deal. And this year, we expect roughly €100 million coming from services sold. In the next year, so as you may easily understand, EBITDA mix will be more skewed towards contract service than assets valorisation.
Monica Girardi: I'll stay 1 second on capital gain because I'm just receiving an inbound, and I think it's linked with the stewardship. So an analyst is asking if you can confirm that your guidance is comprising the capital gain that you just mentioned or any additional and if it's clean of any nonrecurring.
Alberto de Paoli: Yes, I do confirm. So we did the guidance take for stewardship, this €400 million capital gain and roughly €100 million of services that we count within the customer results.
Monica Girardi: Perfect. We jumped a little bit off topic to another. We are talking now about the funds linked with the recovery plan of the European Union. So how the getting funds is progressing in Italy and Spain? What we can mention in terms of new projects and investments that can start soon?
Alberto de Paoli: Well, things are now clearly moving. We just started submitting several projects proposal, both in Italy and Spain mainly, that are currently under evaluation. We got in March -- in March, we got the grant. So we signed the grant agreement from the innovation fund for the gigafactory to be built in Sicily, and this grant was around €120 million. In addition, we expect -- and so they are just to be issued the decree to improve the resiliency and quality of Italian networks to be published soon and associated tenders to happen in the forthcoming weeks.
Monica Girardi: Okay. LatAm M&A. Any update on the transmission asset sale in Chile. What's the rationale for the sale of Celg-D in Brazil?
Alberto de Paoli: So we have no update on the sale of the transmission asset in Chile. And as said, there is no sales process on Celg-D. At this time, we are seeing interest from investors on LatAm, and we can take advantage of this window of opportunity with potential disposal of assets that are not core like Chilean transmission, SEN, or less relevant to our strategy in the area which is predicated on renewables development and the operation of networks in the megacities.
Monica Girardi: Somehow linked to that. Can you share any indication on when we expect the wave of disposals in LatAm to kick off?
Alberto de Paoli: Well, right now, we are looking to focus on our operations in LatAm around the core countries with bigger growth potential, and so we will update you as soon as we will have material information to be shared on the topic.
Monica Girardi: Before moving the division a little better, just getting a couple of confirmation the market is asking for on a couple of things that are linked with the guidance, so I will just stay here on the guidance again. And an analyst is asking if the €100 million hit to the bottom line from the windfall tax in Italy is for a full year impact and not just in the first quarter.
Alberto de Paoli: Well, yes. So in the first quarter, we got €40 million. That was the impact recorded because the decree in force was a decree taking 10% levy, and now this has been increased of 25%. We don't have the decree, so this is only an estimation. If the only change is the increase from 10% to 25%, we will add €60 million, getting €100 million for the whole year.
Monica Girardi: Another quick clarification on the stewardship model, Alberto. An analyst is asking if you can confirm that the €1.2 billion of EBITDA that you mentioned over the plan is cumulative.
Alberto de Paoli: Yes, it is cumulative.
Monica Girardi: Okay. I think we can now move to the divisional question. On global power generation, have you recorded any change to your forward sales strategy given the impacts recorded in the first quarter?
Alberto de Paoli: Well, so first of all, let me stress one aspect relevant. Strategy remains centered around offering contract at fixed price to customer base. And now we are entering a long-term contract, so starting to sell energy for 5 years instead of 1 or 2 like in the past. This is going to ensure highest level of visibility on energy costs for our customers and on the level of our sales.  In terms of coverage, we stand 100%, both in Italy and Spain in 2022. Italy with an average price of €61; and Spain, an average price of €65. In 2023, Italy is at 51% in coverage, and Spain is almost fully sold forward at 82%. These are percentage that refer to price-driven production. Prices are -- those locked at the generation level. So do not refer to the price we lock in with our integrated portfolio also with our customer base.
Monica Girardi: Hydro availability. Can you provide us a breakdown by country of hydro availability and outlook for the year?
Alberto de Paoli: So as I said, we are experiencing extremely dry conditions across Europe. Hydraulicity ratio in Italy is 0.64. So 1 is the normal level. Spain is 0.58. So first quarter is a very, very dry quarter. Latin America, we have different situations. Chile is still not at normal level, and while Colombia has a very good level of resources. Brazil, so resource availability is slightly below. But as you know, this is sub-guarded by the regulatory mechanism that has equalized all the production in the country.
Monica Girardi: U.S. We moved to U.S. Regarding the U.S. Department of Commerce decision to investigate lead antidumping and countervailing duties by 4 Asian countries. Can you remind us how much U.S. solar capacity you currently plan to commission in 2022 and 2023? And how hedged are you in terms of module procurement?
Alberto de Paoli: Right now, we have supply agreements in place that covers all of our 2022 projects and a portion of 2023. The decision of the U.S. Department of Commerce to initiate this investigation is creating some disruptions in supplier manufacturing operations. We believe it's too early to say if these disruptions may have an important impact on the construction schedules. Department will unveil preliminary decision not earlier than August this year. In the meantime, our construction activity has not stopped at our solar sites, and we are also working with our suppliers' portfolio and -- to secure modules outside the countries potentially under investigation.  All in all, I would say, being us, a large global clean energy company with strong financials and having one of the largest renewable project pipelines in the industry, this is giving us flexibility to better manage market disruption and mitigate the potential short-term impacts rising from one specific country.
Monica Girardi: Customer block, I would say. Customer in the power market went up significantly. Can you provide more granularity how this increase compare with planned expectations?
Alberto de Paoli: Well, I said, the increase is almost equally split between Italy and Iberia. Italy added 1.1 million customers and Iberia roughly 800,000. This is a clear indication of our competitive commercial offers and quality of service, and this has attracted customers now looking to flee from the super expensive regulated tariff to lower and higher quality offered by the liberalized market. This increase clearly represents an acceleration compared to the planned expectation.
Monica Girardi: Contracts to customers. Are new contracts loss-making as you have already sold forward all your production? When this negative can be reabsorbed?
Alberto de Paoli: No, the new contracts are not loss-making because they have to be considered within the broader hedging strategy that we are putting forward. The negative impact associated with the sourcing cost that we saw in the first quarter should not be considered as structural but temporary because our commercial strategy and the following of acquisitions will -- going to reabsorb progressively this sourcing impact.
Monica Girardi: I think the last block, and then we will start with a few follow-ups, is on financials. Can you detail the items underlying the €4.7 billion negative working capital impact? Which are the temporary items and when they will be reabsorbed?
Alberto de Paoli: As said in the presentation, the peculiarity of this quarter amount to roughly €3.6 billion of impact that is going to be reabsorbed along the year. First is the seasonal CapEx curve is something that occurs every first quarter. The only difference, that is higher than the previous year because we invested hugely higher last year in the last quarter. So this is the normal impact, a little bit increased in the first quarter, but it is going to be reabsorbed completely along the other quarters.  The second is this -- the fact that we have this huge amount of energy to be bought at this incredible high prices because of the mechanism of paying the energy and then billing the energy to customers. This is at a time difference that is impacting for around €1.4 billion, the working capital, but at the moment in which this energy will be built to customers, so we will bring this impact to 0.  And then this new and other measures implemented by governments for around €500 million that now are adding this €500 million to the previously €1.7 billion impact, bringing the overall impact to €2.2 billion. And as of today, so we are talking about temporary measures. And in this case, so if the measures will be temporary within June, we will reabsorb completely the impact within the year.
Monica Girardi: Staying on working capital, what's the level of working capital you expect for full year?
Alberto de Paoli: Well, like in previous years, so we hit for a neutral working capital impact every year. Clearly, so in a year like this, it is -- it will be possible if together with -- so the items that for sure will be reabsorbed. Also, the temporary impact coming from the government ventures will be absorbed within the year. In this case, we can drive and take also for this year a neutral impact from working capital, from the 4.7% impact that we have in the first quarter.
Monica Girardi: Given the dynamic on FFO, do you feel the investment plan is sustainable from a credit metric point of view?
Alberto de Paoli: Well, investment plan is tailored to deliver and support our strategic target and so to maintain a solid financial position. So finally, the answer is yes, we can deploy our investments and paying our dividend and don't forget the duration of debt EBITDA we target in the plan around 3x, it's still one of the lowest across the industry.
Monica Girardi: Could you please confirm the portion of hybrid bonds accounted as equity amounting to €5.5 billion?
Alberto de Paoli: Yes, we confirm.
Monica Girardi: Okay. Another one on that. Last year, you mentioned a negative for the net debt performance coming from the evolution of FX. This year looks like the same despite FX moving in the opposite direction. Could you please explain?
Alberto de Paoli: Well, so as I said, FX effect on net debt is an accounting effect, and it derives from revaluation or devaluation of the currencies against euros and refers to the change of FX rate versus the beginning of the year. In both cases, 2022 and 2021, we had a negative impact, mainly coming from conversion of debt denominated in dollars.  Now this is the accounting effect. But because we have -- our debt is fully hedged against FX fluctuation, now we have a level of debt that is not the level that we have the strike price. If we take the strike price of the swap, our debt is lower around €1 billion versus what is expressed in the accounting that I said. So if you take our debt in the first quarter, when we will close the bonds associated, we will repay €1 billion less than what is expressed.
Monica Girardi: Okay. Why the Italian retail EBIT is materially negative?
Alberto de Paoli: What, as said, EBIT is -- in Italy is in reduction versus previous year, but materially still positive because, as I said, so in the first quarter, we are having this temporary sourcing effect that is reducing EBITDA. The other items below EBITDA are quite normal. So no bigger change, but the reduction in EBITDA is driving down also the EBIT. As I said, these are all temporary effects, while the underlying of the retail business is an increased level of customers and an increased level of volumes. And on the other side, the prices that are going up because of some repricing coming from the increasing in the sourcing cost that we are having.
Monica Girardi: A follow-up on the first quarter. So why minorities have declined so much year-on-year?
Alberto de Paoli: Well, it follows the restructuring of the last year, where we reached 82.5% of Enel Americas. And through this way, we had the first impact. The second is that so the overall impact between the different results, the different minorities, holdings in different countries is affecting the results. So now the result is more skewed towards business in which we have less minority holdings than in the previous year.
Monica Girardi: We go to guidance again. Comparison to full year budget guidance assumptions, what has gone better, worse over the first quarter? What was the regulatory intervention in Romania and higher sourcing costs already expected?
Alberto de Paoli: Well, as said, I would say better results. We are seeing better results coming from Latin America in operative and also on FX impacts, and this is something that is going better than so expected.  On the other side, as I said, so the underlying operation of retail are doing by far better than expected in terms of volumes and customers. Clearly, we are working on thermal generation. That is a positive -- temporary positive. And also as said, Enel X activities out of the stewardship model is doing better, so it's working around plus 100% versus last year.  On the negative side, as already commented, we have the receipt in Italy and Spain, that is exacerbated by the fact that it's not only a reduction in production but also that we had to buy energy to -- because we have already sold the hydro production before so we had to buy and to resell the price contracts. That is the main headwind that we had.  On the other side, Romania, for sure, there is these 2 impacts that we have already commented. And then this net situation between the higher sourcing costs on one side and the optimization made by trading that is not -- so fully netting the 2 positions, leaving roughly €200 million of higher cost of sourcing. Going forward, so the underlying are strong. The labor price is unpredictable. So it's clearly -- so the very effect that we have to monitor to understand better what is -- what will be the final outcome.
Monica Girardi: Recovery working capital by year-end. What happens if we assume a decline in commodity prices? Do we -- or do you still expect to recover it if commodities -- if commodity prices stay where they are today?
Alberto de Paoli: Well, I think it's not depending on a reduction of commodity prices. Clearly, normalization of environment will help everything in recovering. Also, we may give space for governments to start in -- so normalizing also the measures adopted. And so if we will start progressively to normalize this measure, we will recap progressively, so the debt impact that we are showing in the first quarter.
Monica Girardi: Confirmation about your sourcing -- gas sourcing strategy, if we are dependent to Russia gas -- Russian gas or not.
Alberto de Paoli: As already stressed before, we don't buy any gas from Russia. So our sourcing strategy of gas is based on contract with other suppliers, not Russian, and also with LNG coming from -- mainly from the United States, and so the overall is backing our needs without any Russian gas.
Monica Girardi: Are you worried about bad debt in Italy and Spanish retail? It was not an issue during COVID, but governments were providing heavy stimulus then. This time, the stimulus is being withdrawn, and at the same time, energy bills are rising sharply.
Alberto de Paoli: Well, it's something that we have to assess, and so we are constantly monitoring the situation because in every crisis is something that it may impact. Right now, we don't see a major impact, also because remember that our customer base is benefiting from fixed cost, fixed tariff and not changing a lot versus prices that they were paying the years before, so the last year. So it's not related right now on an impact of increasing bills, clearly. So if the situation will translate in an overall problems, on suffering on the productivity and so on the business side, something can be -- so the bad debt can be -- rise a little bit in the second half. So we will still monitoring, and so we have planning measures to soften this impact.
Monica Girardi: The last one is just -- an analyst is asking to repeat the -- what we said about the debt for full year.
Alberto de Paoli: So we confirm that we will keep a solid financial position and so to underpin a net debt on EBITDA, that will be at around 3x at the end of the year.
Monica Girardi: I think this was the last question. In case I missed anything, it was totally my fault, I do apologize in advance, but I'm available with my team to receive your calls as you wish. Thank you so much and see you for the first half.